Operator: "
Jeffrey Korn: "
Jon Brinton: "
Ron Vincent: "
Doug Gaylor: "
Unknown Executive: "
Joshua Reilly: " Needham & Company, LLC, Research Division
Mike Latimore: " Northland Capital Markets, Research Division
George Sutton: " Craig-Hallum Capital Group LLC, Research Division
Eric Martinuzzi: " Lake Street Capital Markets, LLC, Research Division
Matthew Maus: " B. Riley Securities, Inc., Research Division
Operator: Greetings. Welcome to Crexendo's Third Quarter 2025 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Jeff Korn, Chairman and CEO at Crexendo. You may begin.
Jeffrey Korn: Thank you, Paul, and good afternoon, everyone. Welcome to the Crexendo Q3 2025 Conference Call. I'm Jeff Korn, Chairman of the Board and CEO. On the call with me today are Doug Gaylor, our President and COO; Ron Vincent, our CFO; and Jon Britton, our CRO. In a moment, Jon will read the safe harbor statement. After that, I will give some brief comments on our performance and strategy. Ron will then provide more details on the numbers before handing the call over to Doug to provide a business and sales update. After that, we'll open up the call to questions. Jon, would you please read the safe harbor statement?
Jon Brinton: Thank you, Jeff. I want to take this opportunity to remind listeners that this call will contain forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The Private Securities Litigation Reform Act of 1995 provides a safe harbor for such forward-looking statements. All statements made in this conference call other than statements of historical fact are forward-looking statements. Forward-looking statements include, but are not limited to, words like believe, expect, anticipate, estimate, will and other similar statements of expectation identifying forward-looking statements. Investors should be aware that any forward-looking statements are based on assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company's filings with the Securities and Exchange Commission, including the Form 10-K for the fiscal year ended December 31, 2024, and the Forms 10-Q as filed. Crexendo does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I'd now like to turn the call back to Jeff. Jeff?
Jeffrey Korn: Thank you, Jon. I am incredibly pleased and proud of our entire team. who work tirelessly every day to make sure we have the best products, services and support in the industry. The exceptional results we announced today show that their efforts are paying off. Crexendo delivered another blockbuster quarter, highlighted by 12% year-over-year revenue growth, $1.5 million in GAAP net income and $3 million in non-GAAP net income. Our 28% growth in software solution underscores the strength of our platform and the increasing value we provide to customers and partners. I'm also very encouraged by our 8% increase in service revenue, which I have great confidence will continue to grow. With expanding margins, robust cash generation and continued innovation, we are executing exceptionally well on our profitable growth strategy. We are just getting started. Our investments in AI-driven capabilities, Oracle Cloud infrastructure and next-generation collaboration and contact center solutions are creating powerful momentum across our ecosystem. We see a long runway for organic growth, enhanced by strategic M&A opportunities, and we are fully committed to delivering sustained value for our shareholders. We are delivering profitable growth today while building an even stronger, smarter and more innovative Crexendo for tomorrow. One of our large investors recently suggested to me that I take a few minutes today to tell our story, explain where we came from and why I'm so confident in the future. Our DNA is telecom. We started our telecom journey roughly 15 years ago with our own homegrown switch and deep commitment to customer support. Growth was steady, but then about 4 years ago, the opportunity to acquire NetSapiens became available. We recognized immediately that their software was superior, their engineers were exceptionable and their potential profit was strong, but they needed a sales and marketing strategy and a plan for growth that was a perfect fit for Crexendo to provide. The combination of our marketing and retail expertise with their engineering excellence was a perfect match. Together, we have built a company that understands both sides of the business, platform engineers who think about scale and reliability, working alongside customer-facing engineers who understand what end users truly need. The synergy has made us better, faster and more innovative than any competitor in the market. This past month, that success was on full display at our annual user group meeting, UGM in Miami. It was our most successful UGM in our history with record attendance, over 550 registered participants and 65 sponsors and an energy unlike anything we have seen before. We gave demonstrations on innovations we are making, continued improvements in our look and feel on the platform and a significant discussion on our AI applications. The entire community was excited about our innovations and improvements. The highlight for me personally was being able to announce that we surpassed 7 million end users on our platform. That is an incredible milestone for our company and a clear validation of the strength and scalability of our technology. The excitement in the room was electric. The management team even got a champagne to shower, and I might add, somebody spilled an entire bottle of champagne over my head and got into my eyes. I still don't know who did it, but I'm still trying to figure out. But the closing Gayla was a tremendous opportunity for us to interact with our licensees who are every bit as excited about our milestone as we were and excited about our future as we were. It was a moment that perfectly captured the enthusiasm, pride and sense of community we share with our licensees and partners. Our licensees are energized and growing faster than ever, driving new adoption and innovation across the platform. Their success is our success. And together, we are redefining what is possible in cloud communications. We continue to invest in every area of the business that fuels our growth and differentiation. In engineering, we are strengthening our core platform and accelerating the rollout of AI-driven tools that improve both productivity and user experience. Through our EVP program, which is the ecosystem vendor partner program, we are expanding the applications and integrations available to our customers and licensees, creating new revenue streams and even greater value. We are also enhancing customer service and security, ensuring we maintain our industry's leading reputation for reliability and responsiveness. We have the secret sauce in retail, and that is our customer service. G2, an independent review company that speaks only to verified customers, ranks Crexendo #1 in 18 different customer satisfaction categories. No one else in the industry comes close, and that is because our culture is built around white glove service. Especially in the SMB market, that is essential, where many of our customers do not have large IT departments. Our responsiveness and personal attention truly sets us apart and creates value for our customers. On the wholesale side, our NetSapiens platform continues to be the fastest-growing platform in North America. Our session-based billing model remains a clear differentiator. Our partners only pay for what they use, unlike the outdated per seat model still used by many competitors. Combined with our open APIs, our partners can fully customize solution for their customers. Our new marketplace, which was introduced at the UGM, where we and our licensees can sell applications is already generating excitement and revenue. I am confident that it will continue to grow. Our partnership with Oracle Cloud Infrastructure continues to open global opportunities. We can now deploy new instances in days rather than months. And we have expanded internationally, including onboarding our first customer in Africa. While international revenue still represents less than 10% of our total revenue, it is growing rapidly, and I see enormous potential across EMEA and beyond the world. We remain active on the M&A front. We are currently reviewing several strategic acquisition opportunities and are optimistic we will close one by early next year. Combined with our strong organic growth, these initiatives will help us scale even faster and expand our capabilities in key growth areas. I was recently asked why I said last quarter that I'm more excited about our future than ever before. The answer is simple. It's because of the people around me in this room and the people in our entire organization. We have the best products and the best platform and the best opportunity. The enthusiasm and energy from our UGM made it clear, Crexendo's best days are ahead. We have a world-class team, the best partners in the industry and a technology stack that delivers proven results. I could not be prouder to lead this incredible group of people who pour their hearts and soul into building the best telecom software and customer experience in the market. Our future is bright, and we are just getting started. I continue to expect that we will have double-digit growth through next year. I remain very optimistic in our future, our people and our results. With that, I'll turn the call over to Ron for more details on the financials, and he will then turn the call over to Doug to discuss our sales and operations and give a deeper dive into our AI initiatives. Ron?
Ron Vincent: Thank you, Jeff. Our financial results for the third quarter are as follows: Consolidated revenue for the quarter increased 12% to $17.5 million. Our service revenue for the quarter increased 8% to $8.6 million. Our software solutions revenue for the quarter increased 28% to $7.5 million. Our product revenue for the quarter decreased 25% to $1.4 million. However, I would not let the percentage change alarm you. Historically, using our 8-quarter look back, our average product revenue is $1.3 million per quarter. Therefore, for the quarter, product revenue is slightly higher than our historical average. Product revenue for the third quarter of 2024 was unusually high for the company. Our service revenue gross margins decreased 100 basis points to 57% year-over-year. Our software solutions revenue gross margins increased by 300 basis points year-over-year to 74%. Our product revenue gross margins decreased [indiscernible] basis points to 35% and our consolidated revenue gross margins increased by 200 basis points year-over-year to 63%. Our remaining performance obligations increased to $87.9 million as compared to $83.5 million at the end of June and $77.3 million at the end of September of '24. Our operating expenses for the quarter increased 5% to $16.2 million. The operating margin for the quarter was 7% compared to 1% for the same period of the prior year, a 600-basis point increase. Net income of $1.5 million for the quarter or $0.05 per basic and diluted common share as compared to net income of $100,000 or $0.01 per basic and $0.00 per diluted share for the third quarter of the prior year. Our non-GAAP net income was $3 million for the quarter. That's $0.10 per basic and diluted common share compared to non-GAAP net income of $1.7 million or $0.06 per basic and diluted common share for the third quarter of the prior year. EBITDA for the quarter was $2.1 million compared to $1 million for the third quarter of the prior year, and our adjusted EBITDA for the quarter was $2.9 million or 17% of total revenue. Cash, cash equivalents at September 30, 2025, was $28.6 million. That's compared to $18.2 million at December 31, 2024. Cash provided by operating activities for the 9-month period of $7 million. Cash provided by financing activities for the 9-month period was $3.4 million, primarily related to $4.1 million of net cash received from stock option exercises, offset by $300,000 in taxes paid on net settlement of stock options and RSUs and $400,000 in notes payable repayments and finance lease payments. I'll now turn it over to Doug Gaylor, our President and COO, for additional comments on sales and operations.
Doug Gaylor: Thanks, Ron. We had a very strong quarter on both the top and bottom line, and we are excited about our momentum as we finish the year. This is our 9th consecutive quarter of GAAP profitability and 28th consecutive quarter of non-GAAP net income, and the results were a direct result of our focus on growing organically and profitably. Our GAAP profitability continues to be positively affected by managing our costs and driving synergies within the business. After successfully migrating our international data centers to OCI, Oracle Cloud Infrastructure in Q2, we have been focused on completing the remaining migrations of our U.S. data centers to OCI and anticipate additional cost savings from completing that migration beginning in early 2026. In addition, we are nearly complete with our classic to VIP migration, which will add additional cost savings beginning in Q1. We continue to see tremendous organic growth from our Software Solutions segment of the business, which grew 28% organically over Q3 of 2024 and has seen a 31% organic growth rate year-to-date. We had a very strong quarter with 12 upgrade orders from our existing licensees, combined with winning 6 new logos that chose Crexendo for their platform of choice moving forward. Of the 6 new logos, we won 1 new logo from Metaswitch, and we continue to see opportunities created by uncertainties created by our 2 largest software solutions competitors, Cisco's BroadSoft and Metaswitch. Our unique pricing and support model for our software solutions platform, combined with our robust feature set and open APIs that fuel AI applications and integrations allow us to differentiate ourselves from the rest of our competition at a much stronger price point than they might currently be paying. Our Telecom Services Retail segment grew at 2% organically for the quarter, and our telecom service revenue was up 8% organically, offset by a reduction in our product revenue to reach the blended 2% increase. As previously stated we proactively reduced selling some lower-margin product opportunities to maintain margins, thus [indiscernible] product revenue. We continue to see strong demand for our offerings from our channel partners and our master agent technology service distributors and expect retail segment revenue to continue to grow at a faster pace. The master agent technology service distributors saw a 28% increase in sales bookings year-over-year, and we expect that momentum to continue. We will continue to focus on profitably growing the segment of the business and will not be pursuing low margin or unprofitable retail opportunities as we've stated in the past. Our remaining performance obligation, also referred to as our backlog is now at $88 million, an increase of 14% from Q3 of 2024. Our remaining performance obligation number is the sum of the remaining contract values for all of our telecom services and software solutions customers that will be recognized on a sliding scale over the next 60 months, and that's a very strong indicator of our future revenue stream. Consolidated gross margin for Q3 was 63%, up from 61% in Q3 of 2024. We continue to see strong gross margins in our Software Solutions segment, where Q3 gross margins were 74% compared to 71% for the same quarter last year. For the 9 months of the year, our Software Solutions gross margins were 76%, highlighting the scalability and operating leverage we have on the software segment of the business. Our Telecom Services segment gross margin was 55%, which was flat with Q3 of 2024. And our telecom services gross margin are affected by our product gross margins, which declined year-over-year as a result of a decline in our product revenue as we concentrate on higher-margin UCaaS sales and less on low-margin product sales. We are confident that we will continue to see gross margin improvements in both segments of the business in the future as we start to recognize cost savings from our ongoing consolidation of our data centers to Oracle Cloud infrastructure as well as our plans to sunset our legacy classic offering. Crexendo's engineering team continues to enhance and improve our award-winning platform. We recently released version 45 on our platform as well as preannounced at our user group conference in Miami last week, the exciting enhancements planned for our version 46 release in 2026. The NetSapiens cloud-native platform is designed with open API integrations that allows us to enhance our offerings with both in-house and third-party developed solutions. Right now, the biggest game changer in our industry since the onset of the Internet will be artificial intelligence. And for Crexendo, AI is leading the charge in these developments with many new and planned releases that will make small and midsized businesses more efficient and productive. Crexendo's AI solutions are focused on helping businesses make more money as opposed to saving money. Our AI solutions are targeted at making small and midsized businesses more successful and more profitable. We currently have a variety of AI solutions already available for end users, including our Voice AI Studio, our AI call recording with sentiment analysis and our contact center AI powered by ChatGPT. In addition, in our most exciting release shared, we introduced Crexendo's AI receptionist orchestrator or code named Kairo at our UEM last week to rave reviews. This new application will be available later this month for new and existing customers to leverage the power of an AI receptionist to answer all incoming calls, answer frequently asked questions, schedule, reschedule or cancel appointments, access customer records and other applications. For the typical SMB customer, this technology will allow their business to be more effective, more productive for a minimal cost, while at the same time allowing Crexendo to significantly increase our average revenue per account. During the quarter, we announced multiple partnerships with our new vendors in our EVP program that Jeff mentioned earlier, which is our ecosystem vendor program, and we are now up to 41 official partners in that program. These partners provide products, software and solutions to our platform that allow Crexendo and our partners to benefit from selling solutions to end users that will make their businesses more efficient, more productive and more profitable. As this program continues to gain momentum, we will benefit from additional revenue streams. Crexendo's performance for the quarter and year-to-date has been very strong, and I couldn't be more excited about the future direction and opportunity for Crexendo. We continue to see strong double-digit organic growth combined with increasing GAAP profitability and strong positive cash flow. We are positioned perfectly with the combination of strong demand for our product offerings along with great solutions with a disruptive pricing model and the best and most talented workforce in the industry to continue our strong growth and success. We're excited about the additional opportunities to drive growth and innovation that AI will infuse into our business and are very optimistic that applications like our AI receptionist will drive demand and revenue. We are committed to delivering the best UCaaS, CCaaS, which is Contact Center as a Service and CPaaS, Communication Platform as a Service offerings in the sector to our customers and partners and best returns for our shareholders. As the fastest-growing platform solution in the country and now supporting over 7 million end users, we are laser-focused on growing our business, enhancing our solutions and improving our efficiencies and continuing to return strong results. With that, I'll turn it back to Jeff for any further comments.
Jeffrey Korn: Thank you, Doug. I don't have any further comments at this time. So, Paul, I'll open the call up to questions.
Operator: [Operator Instructions] And the first question today is coming from Joshua Reilly from Needham.
Joshua Reilly: Nice job on the quarter here. Maybe just starting off in terms of the pipeline for new licensees. How should we be thinking about the setup for Q4 and maybe over the next few quarters? And are there any comp issues that we should be considering in terms of the number of licensees and users on the platform that you added last year in Q4 that we should be considering for the coming quarter here in Q4?
Jeffrey Korn: I think, Josh, you can do -- going backwards from forwards, you can do the math and see what our growth is on a monthly basis from when we went from 6 to 7. While I expect that to accelerate somewhat, that's a good rule of thumb to look at how fast we'll be growing the amount of users on the platform. In regard to how many logos we expect -- new logos we expect or upgrades for Q4, still a little early for us to tell. As you know, Josh, we always have somewhere between 15 and 20 sandboxes out, and they take various times for people to continue testing and working and looking at the platform. So it would be hard for us to give you a number at this point.
Joshua Reilly: Got it. And then on the new AI products that you've been launching and now have with Kairo, which is pretty compelling demo that we saw at the conference there. How are you going to be measuring the success of the broader launch of these products in terms of attach rates or any other metrics that investors should be considering? And how will the go-to-market work in terms of going back to your base of licensees and building awareness with them? I saw some of that at the conference recently, but just wanted to get your take on that.
Jeffrey Korn: Yes. I think, obviously, we'll be monitoring that on a take basis from all of our customers out there. I mean if you think about that release, that release is going to really affect small and midsized customers to allow them to be more efficient and more productive, as I mentioned. So I think we're going to have a tremendous take rate on that, but we're going to have a very aggressive program for not only our existing base customers to easily be able to adopt that technology and add it into their infrastructure, but it will also be a key marketing point for us for all new customers when they're considering our solutions versus our competitors. So we'll be tracking that. We don't have obviously any measurements to compare it to at this moment, but I anticipate a strong uptake from our existing customers and new customers as well.
Joshua Reilly: Got it. And then I think it would be helpful to discuss the progress that you've been making in migrating the customers to the OCI infrastructure that are hosted with you? And can you just remind us kind of the relative mixes of how many licensees are hosted with you versus in their own cloud and how that's kind of progressed over the last couple of years?
Jeffrey Korn: I don't think we have off the top of our heads the record of how many host their own and how many are on OCI. But I can answer your question regarding the migration of our old cloud onto OCI. We expect that to be completed by the end of Q1 and be off our old legacy data centers.
Operator: The next question will be from Mike Latimore from Northland Capital Markets.
Mike Latimore: Congrats on 7 million users. That's a big number. In terms of the services growth getting to 8%, nice improvement there. I guess, can you talk a little bit about what drove that improvement? And then when you say you expect the growth to continue or even be faster, I guess, is your thought that, that 8% kind of moves up even in the fourth quarter?
Jeffrey Korn: I'm going to let Jon answer that because he knows kind of the sales pipeline.
Jon Brinton: Yes. So yes, it's a great question. And I would just say it's continued positive acceptance of the offers in the market and execution on our retail teams specifically, and we're seeing solid bookings growth and also, I would say, a slightly faster conversion to implementation and recurring revenue from the pipeline that we're bringing in. So, the team continues to drive the revenue there. We continue to see good success. We're focused on profitable growth, but they continue executing, and we're looking forward to continuing to see the growth there.
Mike Latimore: Great. And then the suggestion that the growth continues, does that mean it sort of moves up from this 8% level over time?
Jeffrey Korn: That would be my expectation, Mike. As you know, UCaaS is highly commoditized. And as I discussed in my comments, we make a concerted effort to have the absolute best service in the industry, and that's a strong competitive advantage for us aside from the fact that I think our offerings are amongst the best, if not the best in the industry. So that -- the better offerings together with the top customer service by far is a strong competitive advantage for us, and I expect that to accelerate our growth.
Mike Latimore: Got it. And then in terms of the software pipeline, how would you characterize it as you look to the next couple of quarters here? Is there any shifting going on more to new versus installed or into larger deals versus higher numbers of deals? Like how would you characterize the software pipeline?
Jeffrey Korn: Well, Mike, as you understand, larger deals tend to take longer because the analysis by the customer takes some time. So, we've had people play with our sandbox for 4 years before making a decision. People play with the sandbox for 2 months before making a decision. So it's fairly difficult for us to tell you on a Q-to-Q basis how many new logos we're going to get. But as I said before, we have a number of sandboxes out. People are very excited. Engineers are working with them. So we expect the growth to continue. I don't know if Doug or Jon have a little more color they want to add.
Doug Gaylor: Yes. I don't see a lot of slowdown. There's a tremendous amount of pipeline of opportunities out there, and we're more optimistic now than we've been in a long time with the opportunities that are out there. So as Jeff said, a lot of these decisions take a lot of time and evaluation on the end users' part, but we know that we're the best solution for them. So the fact that we've got a number of opportunities out there in the queue, we know they're all going to come through enduring places and times, but we're confident we're going to win the high majority of those.
Jeffrey Korn: Yes. To be clear, not all are going to come through, but a great majority of them will.
Mike Latimore: Sounds good. Last one, just on the receptionist, AI receptionist. Can you talk a little bit about the opportunity there? Do you think like every one of your customers would have interest in that? Or is this geared more towards larger customers? Just how do you think about that opportunity a little bit?
Jeffrey Korn: Yes. I think it's really an opportunity for every customer to take a look at it and find out if it's good for their business. So I think that we feel that the high majority of small and midsized customers will be very open to an AI receptionist type solution just to help make their business more efficient. If you think about our average sized customer out there being in the range of 18 or 20 stations, they can much easily deploy resources internally to help grow their business while they've got an AI receptionist that's answering frequently asked questions and doing a lot of the repetitive type functions within their business. So it allows them to redeploy assets within their organization to help them grow their business. So we think that our take rate is going to be extremely high, and we think that's going to increase our average revenue per account upwards by 40% or 50%. So will it be the right solution for every business? Probably not, but will it be a high take rate from the majority of our customers? We're feeling pretty optimistic that we're going to get a lot of customers that are going to fall in love with this technology and be able to grow their business with it.
Operator: The next question will be from George Sutton from Craig-Hallum.
George Sutton: Congrats on the results. So I wondered if we can go a little bit more into version 46. And it sounded like it's a complete rethinking of the platform. And I'm just curious, I certainly heard good feedback from the licensees. But I'm curious as you begin to go to market with that, when can you start going to new potential customers with this newer version of the platform actively?
Jeffrey Korn: We're thinking Q1, George, obviously, I'm dealing with engineers, so I forgot to ask which year, but I'm assuming they meant Q1 of 2026.
Jon Brinton: Yes. So I'll fill in some more color on that, George. This is Jon here. And it's actually -- we called that Project Horizon at our Expand Your Horizons partner event. So it's obviously a key theme for us. More than a rethinking of the platform, it's a rethinking of the interface in the way people interact with the platform. I think if you step back and think about it a little bit, we've talked about one application in this call, which is the Kairo, the Crexendo AI reception as an orchestrator. But at our code fest that we had at UGM, we had 10 different AI applications demonstrated, many of which the partners built on top of our platform. And what version 46 does is it really allows them to have a modern way to express how customers can view that, interact with it and deal with it. And we did give Q1 as a time frame for, I would say, previews and first looks and things of that nature. The actual GA date will probably be a little later than that. So, we don't want to front end the expectations too much. But just think of it as same underlying technology. I mean, with many of these AI applications, our platform underneath them is the engine that's powering all the communications behind them. So it's how customers want to look at it, interact with it, how it can be put into other vertical applications and extrapolate it externally in a way that people are more likely to use and naturally interact with the platform. So, think of it the underlying engine plumbing and all that will be the core NetSapiens platform, which has just been a great winning hand for us. This is just a better way for people to consume it.
Jeffrey Korn: George, we had invested most of our money up to this point in making sure that the platform was bulletproof, and we are providing the best software telecom platform in the industry. If there was one thing we weren't doing as well as the basic engineering, it would have been the look and feel. And this improves the look and feel and puts us at a complete competitive advantage to any of our competitors. I think it's now going to be the best look and feel in the industry masked with the best engineering in the industry, and that makes a hell of a combination.
George Sutton: So, on the other side of innovation, the Metaswitch/Alianza group meeting did not sound like it moved anything forward. It was a marketing layer message but really maintaining all their platforms. At what point does that lack of movement start to really accelerate your opportunities with those licensees?
Jeffrey Korn: George, I don't believe in trashing the competition. I think our best way of selling is by showing that we have the absolute best products, people and performance in the industry. Allianz is a smart company. They're going to figure out what they have to do. We're not worrying about them. We're worrying about staying competitively ahead and rolling out the best products in the industry and the best price point in the industry. All in all, I think it gives us a superior advantage to anybody.
Jon Brinton: But I will add, there is a nuance there...
Jeffrey Korn: Not everybody agrees with me.
Jon Brinton: [indiscernible] There is a nuance there that at our event, we focused on things that people either could walk out of the event, add to their offer and sell today or before the end of 2025. So, things that will be released here before the end of the year primarily with one exception that was the preview of the Horizon interface project. Everything else people can take and monetize in the near-term future. So, there's no architecture here where we're talking about what's going to happen way down the road. This was real exciting products that people can take and add to their platform today and grow their revenue tomorrow.
Jeffrey Korn: George, I pointed out at the last UGM, which I think you're at too as well as this one, I'm there to listen, not to talk. And a lot of the feedback I got last year was incorporated in the release we had this year. A lot of the feedback I got this year will be incorporated in the releases we do next year. We listen carefully to our licensees. We understand what they need, and we make sure we provide it.
Operator: [Operator Instructions] The next question is coming from Eric Martinuzzi from Lake Street.
Eric Martinuzzi: My congratulations on the quarter as well. I wanted to ask you just along the lines of M&A, there was an acquisition yesterday by a competitor of yours, Ooma, and they went kind of outside their own technology architecture to pick up FluentStream. I just wanted to know your thoughts on -- is that something that you all might pursue if you could find something for the right price, a product running outside of the NetSapiens architecture.
Jeffrey Korn: Well, Eric, as you've heard Doug talk about our stock fishing pond. We have over 220 licensees on our platform who are already on our technology. That would be our preference to start with. While we're excited to see any movement in the industry, we think that's a good thing. Our preference would be to pick up our own technology in an acquisition. Nonetheless, if something compelling came wrong at the right price, will we look at it, of course. But we've got a lot right in front of us where there's no migration required because they're already on our platform, and that makes the most sense to us.
Eric Martinuzzi: Okay. And then I think historically, you've talked about acquisitions at revenue run rates in the neighborhood of $5 million to $10 million. The opportunity that you outlined in your prepared remarks Jeff, the early next year -- hoping to close one by early next year. Does that fit into that bucket?
Jeffrey Korn: One of them fits in that bucket. One of them is a little larger. We're going to have to narrow down on one, but I'm quite confident we will do it. As you know, Eric, we're a small integration team here. So, if we're doing something in the $20 million range, that would probably be the only acquisition for the year. If we did something in the $5 million to $10 million range, we'd probably look for a second one.
Operator: And the next question is coming from Josh Nichols from B. Riley.
Matthew Maus: This is Matthew on for Josh. I guess to start off, it looks like the Oracle Cloud migration seems to be unlocking some good opportunity internationally with the ability to deploy in days versus weeks like you mentioned earlier. So, my question is, how quickly do you expect that international revenue mix to inflect from current levels? And what's kind of gating that pace of expansion here?
Jeffrey Korn: Our growth internationally [indiscernible] is larger than our growth domestically, but it's a small part of our business. So, at this point, it's still a rounding error. I had spent part of the summer at our office in London meeting with customers and potential customers, and they're all very excited. Jon does it on a regular basis. Others do it on a regular basis. I expect international to continue to grow at a faster clip than domestically. But considering world issues, it's hard for me to give a number or specific guidance on it.
Matthew Maus: Got it. And I guess switching over to, I guess, AI-related question. You're building out a comprehensive stack with Power launch this month and [indiscernible] for Agentic AI and so on. But I'm wondering what else can you layer into the platform from here? And are there additional capabilities you're evaluating or planning to roll out?
Jeffrey Korn: There's always additional capabilities we're analyzing, but I'll let Doug answer the AI stack question.
Doug Gaylor: Yes. As I mentioned, we've got 41 vendors in our EVP program now. As Jon mentioned, 10 of those in our code fest. We're showing AI solutions. The best part about our platform today is it's an open API platform. And so that means that anybody that is writing code out there, anybody that has a technology stack that they want to bring to our platform, it's easily integrated. So when we look at the opportunity for selling AI solutions, we highlighted 3 or 4 that we currently have, but we've got a number that are being in development as we speak. We've got applications that as we saw at our UGM last week with 65 sponsors, applications that range anywhere from texting to messaging to faxing, you name it. We've got those solutions that are developed and available for any and all of our licensees to sell to their end user customers. So there's a tremendous amount of monetization still to be had with third-party development applications.
Matthew Maus: Got it. That was helpful. And I guess just one last quick question. So regarding the product gross margin, it dipped to the high 30s in Q3, which is softer than the low to mid-40s of historical average. I'm just wondering what drove that? And how should we expect that to change going into Q4 and 2026?
Doug Gaylor: Can you repeat that one more time, Matt? We're having a little bit of hard time, a little echo there.
Matthew Maus: Yes. So regarding the product gross margin, it dipped to the high 30s in Q3, which is softer than the low to mid-40s historical average. I'm wondering what's driving that and how we should expect that to change in Q4 and 2026?
Unknown Executive: Yes, we would expect that to improve and go back into the low 40s range. We had some lower margin sales in that -- in the quarter that drove down the overall gross margin that we had in the quarter.
Operator: And that does conclude today's Q&A session. I will now hand the call back to Jeff Korn for closing remarks.
Jeffrey Korn: Well, I want to thank everybody for their attention. I want to thank everybody in the room here with me and everybody who is listening to the call, who works with Crexendo. It was an amazing quarter, an amazing team effort, and I'm very, very excited for our future and for the next time we get to talk. So until then, thank you, and thank you for your attention.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.